Operator: Good day, and welcome to Symantec's First Quarter 2015 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please, go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss First Quarter 2015 Earnings Results. By now, you should have had that opportunity to review a copy of our earnings release and supplemental information. We've also posted a presentation that complements our prepared remarks. If you have not reviewed these documents, they can be found on the Investor Relations homepage. A copy of today's prepared remarks will be available on the website after our call is completed. Participants on today's call are Mike Brown, Symantec's Interim President and CEO; and Thomas Seifert, Executive Vice President and CFO. This is a live call and will be available for replay via webcast on our webcast. I'd like to remind everyone that we provide year-over-year constant currency growth rates in our prepared remarks, except for statements about net income and EPS. All references to financial metrics are non-GAAP unless otherwise stated. Also, implied billings refer to revenue plus a change in sequential deferred revenue, and we provided a trended history of this metric in our supplemental information. To provide more meaningful insight on Symantec's results and enhance investors' ability to compare our performance to our peers, we implemented a new non-GAAP policy which reduces the number of potential adjustments to GAAP measures. Effective in the June quarter, our non-GAAP financials were adjusted for the following items: stock-based compensation expense, charges related to amortization of intangible assets, certain other income and expense items that management considers unrelated to the company's core operations, and the associated income tax effects of these adjustments. As such, we've provided a historical compare for this change in our supplemental information for you to update prior years in your model. I would also like to take this opportunity to highlight a few dates for you. Thomas will be presenting at the Citi Technology Conference on September 3 in New York, and we intend to announce our second quarter earnings on November 5. Please note, non-GAAP financial measures referenced during this call are reconciled to their comparable GAAP financial measures in the press release and supplemental materials posted on our website. Today's call contains forward-looking statements based on the environment as we currently see it. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date, and as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to the cautionary statement in our press release for more information. You will also find a detailed discussion about our risk factors in our filings with the SEC and, in particular, in our annual report on Form 10-K for the year ended March 28, 2014. And now I'd like to introduce our Interim CEO, Mr. Mike Brown. Go ahead, Mike.
Michael A. Brown: Thank you, Helyn. And good afternoon, everyone. We had a solid first quarter with revenue, operating margin and EPS all meeting our guidance. We're pleased with the progress we're making on our 5 priorities that I outlined last quarter, and with the momentum that is building in our business. We achieved implied billings growth of 3% year-over-year and positive revenue growth ahead of our entire internal plan. Our separation of the sales force into new business and renewals teams has led to improved performance, especially in North America. In particular, our federal and renewals teams both delivered one of their best quarters ever. Our Backup Appliances, Trust Services and Data Loss Prevention businesses generated robust revenue growth. In the last 2 quarters, we've introduced nearly 2 dozen new or improved products, and we're on track to release almost 2 dozen more by fiscal year end. These results give us a great deal of confidence in our team's ability to execute our plan, and we're excited about the considerable opportunities Symantec has to improve our growth and profitability. Turning to our previously defined 5 priorities for fiscal year '15, namely: number one, managing our businesses as a portfolio and optimizing certain businesses for margin; number two, investing for growth in our enterprise businesses; number three, reducing costs and improving efficiencies through 8 initiatives; number four, attracting talent to our executive team; and number five, returning significant cash to shareholders. I'd like to spend a few minutes discussing the progress we've made on these. We've already begun operating some of our businesses for margin, which is our first priority. As we discussed on our last earnings call, we formed a new consumer group for our Norton-branded products, which is allowing us to drive even higher margin in this business, and we will begin reporting our consumer business as a separate segment next quarter. We're simplifying our offerings with the beta release of Norton Security and Norton Security with Backup, and we're streamlining our channel strategy by exiting certain high-cost and unprofitable retail markets and OEM deals. In addition to these cost reduction efforts, in early June, we introduced Norton Small Business, our first Norton offering for small businesses, and we're selectively pairing headcount to match a more simplified business. During the June quarter, we also saw strong renewals and improved business activity in our Storage Foundation and Cluster Server offerings, which is the other business we are managing for margins. As we discussed last quarter, we continue to work on divesting a few businesses that don't fit either our growth or margin objectives. We will provide an update when we have transactions to announce. Our second priority is focusing our resources on the areas where we see the most potential for meaningful growth. We continue to shift R&D dollars from our more mature businesses into areas we have prioritized for growth, which include Backup Appliances and selected Security businesses such as mobile, advance threat protection, Managed Security Services and Data Loss Prevention, or DLP. Our backup business performed very well during the quarter, with Backup Appliances growing 35% year-over-year. We nearly doubled the capacity of our enterprise backup appliance from 76 terabytes to 148 terabytes, allowing us to target the upper mid-market of the enterprise segment and effectively double our addressable market. We also released Backup Exec 2014 in early June. This offering delivers powerful, flexible and easy-to-use backup and recovery to protect the customer's physical, virtual or hybrid environment for a mixture of applications and operating systems and differentiates us from most competitors. In our Security business, our unique differentiator is that we track roughly 4 trillion threat indicators from hundreds of millions of mobile devices, endpoints and servers across the globe, a footprint unrivaled in the industry. The enormous volume and diversity of our data allows us to significantly reduce the number of false positives that seriously compromise the operational value of so many competitive products. To that end, we launched our managed Advanced Threat Protection, or ATP, service in the June quarter. By triangulating threat indicators from our Endpoint Protection and third-party network security products, this service provides more comprehensive threat detection. Early traction for our managed ATP service has been very positive, with several early adopters since its May launch. In June, we introduced our managed incident response service, which provides emergency on-demand service to help customers recover from a breach. Since our launch, 36 customers have engaged us to help triage live incidents. We'll extend our strength in Managed Security Services by launching 2 additional services in the fall. First, our managed adversary and threat intelligence service will offer customers a much deeper understanding of specific threat actors and attacks. Second, we believe we're the only company that will offer a cloud-based hands-on cybersecurity simulation that customers can access from anywhere and engage in realistic training scenarios that approximate customers' data center environment. As we discussed on our last call, we will also provide our Advanced Threat Protection capabilities for both protection and response in products for Endpoint, email and a threat defense gateway. The first offering in this series will be an ATP threat defense gateway that we expect to introduce by the end of this fiscal year. In addition to embedding our ATP solution into several of our security offerings, we're extending our market leading Data Loss Prevention capabilities as well into our Endpoint, email and data center security products. By integrating DLP functionality into these areas, we will provide customers with complete visibility, consistent policy enforcement and unified governance of their information. To that end, during the June quarter, we released DLP 12.5, which reduces the deployment footprint for customers from 5 servers to 1, lowering both deployment and maintenance costs. Turning to our third priority, we are focusing on 8 initiatives to drive revenue and improve cost efficiencies. While Thomas will discuss our 4 efficiency initiatives that will contribute to margin expansion during the second half of our fiscal year, I'd like to briefly describe our 4 revenue initiatives. Our first 2 revenue initiatives are focusing on improved -- improving new business and renewals productivity to help achieve better economics and greater coordination among the sales groups. Our third initiative, license compliance, reduces complexity for customers so they don't fall out of compliance, and we have begun to see results particularly in North America with our fourth initiative, pricing optimization, which incorporates customer feedback and market dynamics into transparent market pricing policies and more efficient selling processes. We're confident these revenue initiatives will drive top line growth in support margin expansion. We expect to build on the momentum we achieved in the June quarter during rest of fiscal year '15. We are on track to continue to grow revenue during the second half of the year and reach our operating margin target of 30% by the fourth quarter. Turning to the fourth priority of attracting top talent to our executive team, we made 2 key executive hires since our last call: first, we hired an Asia-Pacific and Japan sales leader, Adrian Jones, in June; and second, a Chief Human Resources Officer, Amy Cappellanti-Wolf, in July. Adrian has experience managing a $2 billion multiproduct technology business across APJ at Oracle. Amy has led various HR teams at Cisco, Walt Disney and Frito-Lay. We are excited about their experience and the energy they've already brought to the team and look forward to their continued contributions. Our CEO search is proceeded on schedule. The search committee has received strong inbound interest, and has a ready met with a number of highly qualified candidates. The committees is in the process of narrowing the field to a handful of executives and is vetting the finalists among those. We expect the board to be considering the finalists this month, and it's our goal to make an announcement by the end of September. We will continue to return significant cash to shareholders as we've done in the past, which is our fifth priority. Thomas will detail our June quarter dividend and share repurchase activities for you. In summary, I'm pleased with the progress we've made on our 5 priorities. Before I turn it over to Thomas, I want to take a minute to highlight our unique competitive advantages. In Information Management, we have the largest backup and recovery business, with 30% market share of this multibillion dollar market. We've enabled customers to purchase NetBackup as an integrated appliance, which is a high growth market. In fact, our integrated backup appliances market share group from 0% to 38%, to the #2 spot in just under 4 years. Going forward, we're moving our products to the cloud to complement the strength we already have in our cloud-based archiving business. In Security, our global footprint gives us access to threat indicators from 200 million endpoints, 1 billion systems, 8 billion email messages and 1.4 billion web requests a day. We also track reputations of about 4 trillion files and application. Symantec is the only company in the world that operates a civilian cyberintelligence threat network of this scale and depth. This volume and diversity of data and the ability to analyze it is unrivaled in the industry. This allows us to provide faster and better protection for customers through all of our product, including Endpoint Protection, data center gateways, threat gateways, mail and web gateways. Additionally, we offer a host of cybersecurity services to complement our extensive product portfolio in order to better protect our customers. This competitive advantage continues to yield high profile successes with customers and law enforcement. For example, it was critical in assisting major law enforcement agencies to recently catch and shut down global-scale threat operations including Dragonfly, which threatened energy grid operators and major electricity generation firms in North America and Europe; and CryptoLocker, which enabled hackers to encrypt and lock PC files to extort ransom payments. Symantec is at the leading edge of these efforts because we know more about what's happening to more systems worldwide than any other company. In conclusion, we had a solid quarter. We are making steady progress with our 5 priorities, one of which is our 8 revenue and efficiency initiatives. Our business is showing positive momentum, and we are confident in our revenue and margin targets for the fiscal year. Now I'll turn it over to Thomas to provide a review of our financial results and guidance.
Thomas J. Seifert: Thank you, Mike. And good afternoon. As Mike noted, we had a solid quarter with our key financial metrics exceeding expectations. This was driven primarily by productivity improvements in both our new business and renewals team, in addition to newly launched offerings. This also marks our third consecutive quarter of an improving year-over-year implied billings trend as we posted positive implied billings growth one quarter ahead of our internal plan. We're making progress in driving our priorities and are well on our way to achieving our fiscal year revenue and margin targets. Now let's move to our June quarter results, which included an extra week of activity versus the normal 13 weeks. Revenue of $1.74 billion was up 2% year-over-year on an as-reported basis, our first quarter of revenue growth since we reorganized our sales force. This was driven by strength in our Backup Appliances, DLP and Trust Services businesses, as well as strong performance by our North America and federal sales teams. Year-over-year implied billings and enterprise subscription revenue growth improved sequentially this quarter. Implied billings was up 3% year-over-year, and our enterprise subscription, which excludes Norton revenue, grew 7% year-over-year, accounting of 16% of total revenue. Moving now to business segments. Our User Productivity & Protection segment was flat year-over-year at $740 million, as growth in Enterprise Endpoint Protection was offset by continued weakness in Endpoint Management. Notably, our efforts to simplify our Norton offerings and shift more resources to our direct-to-consumer channel helped drive margin expansion. GAAP operating margin for this segment was 36%, up 1 percentage point year over year. Next quarter, we'll begin reporting a consumer security segment and enterprise security segment and continue to report our Information Management segment. The Information Security segment increased 2% year-over-year to $345 million, driven by continued growth in our Trust Services and DLP businesses and offset by weakness in our mail, web and data center security businesses. We are pleased with the early traction we have seen with our MSS-ATP service and continue to invest in this business. GAAP operating margin for the segment was 20% compared to 7% in the year ago period, driven by increased revenue, and more importantly, lower sales and marketing spend. The Information Management segment was flat year-over-year at $650 million. Continued growth in NetBackup and Backup Appliances was offset by weakness in Backup Exec. We are pleased with our strong renewals activity in the quarter. GAAP operating margin for the segment declined 9 percentage points year-over-year to 14% due to increased appliance revenue and higher R&D and marketing spend for newly launched offerings, some of which were unique to this quarter. Moving to gross margin. Growth in our lower margin hosted solutions and appliance businesses drove the 30 basis point year-over-year decline in gross margin to 83.3%. Our operating expenses were 2% higher year-over-year. We increased our R&D spend while decreasing expenses in sales and marketing and G&A. This resulted in an operating margin of 24.6%. Net income of $313 million resulted in fully diluted earnings per share of $0.45, up 2% year-over-year. We remain committed to returning capital to shareholders and return a total of $229 million during the June quarter via share repurchases and dividends. $104 million was in the form of cash dividends for shareholders and $125 million was used to repurchase 6 million shares at an average share price of $20.71. We have $533 million remaining under the current stock repurchase authorization. Cash flow from operating activities totaled $293 million, down year-over-year, driven by a onetime tax deposit of $104 million related to a previous year IRS audit, offset by higher collections. We expect cash flow to be up year-over-year for fiscal '15 as we return to normal seasonality in the second half of fiscal year '15. Capital expenditures were $92 million, up year-over-year as we invested in our IT and cloud infrastructure. As such, we expect CapEx to be front-end loaded in fiscal year '15. Before I review our guidance, I'd like to discuss our 8 revenue and efficiency initiatives, which are ramping nicely and are tracking according to our plans. Last quarter, we created a project management office with detailed work streams to focus on the opportunities we have identified to reduce cost and improve revenue. Three of our revenue initiatives, which Mike discussed, pricing optimization, renewals and license compliance, contributed to our results in the last quarter. We expect 3 of our efficiency initiatives, namely optimizing our Norton business, streamlining product support and reducing our global footprint, to ramp during the second half of fiscal year '15. Along with our sales force productivity and R&D capacity improvement initiatives, we expect these initiatives to build momentum into next year. We expect to provide a more detailed update on these initiatives next quarter. For the September quarter, we expect revenue between $1.6 billion to $1.64 billion which is flat sequentially after normalizing for the extra week and in line with our typical seasonal trend. Implied billings is expected to grow year-over-year. We expect operating margin to increase sequentially to between 25.1% to 25.9%, resulting in an EPS in the range of $0.40 to $0.44. We are pleased with the momentum we experience in the June quarter and we are reiterating our full fiscal year guidance. We expect modest implied billings growth during the second half of fiscal year '15. And having exceeded first quarter guidance gives us even more confidence in our fiscal year target, and we expect revenue to grow year-over-year during the second half of fiscal year '15. We expect operating margin to ramp sequentially and is on target to reach 30% by the fourth quarter. As I mentioned earlier, our efficiency savings will ramp through fiscal year '15 and is expected to benefit operating margin during the second half of fiscal year '15. Having said that, for the fiscal year, we expect revenue in the range of $6.63 billion to $6.77 billion and operating margin between 27.7% and 28.2%, and EPS between $1.84 and $1.92. In conclusion, I am pleased with our solid June quarter results and with the progress we are making on our 5 priorities and our 8 revenue and efficiency initiatives. And with that, I'll turn it over to Helyn to begin taking your questions.
Helyn Corcos: Thank you, Thomas. Glenn, will you please begin polling for questions.
Operator: [Operator Instructions] We'll take our first question from Brent Thill with UBS.
Brent Thill: Thomas, I'm curious now that you've been there for a little bit, if you could just give us your perspective on the areas that you see the biggest operational areas for improvement on the cost side.
Thomas J. Seifert: Yes, a very good question. So as we said, we started to work on our initiatives in the previous quarter, set up a project management office that tracks really in a very detailed manner all the initiatives we have identified. On the cost saving side, there are 4 initiatives, as we said. The first one is really to optimize the Norton business from a footprint and from an offering perspective, really exiting expensive retail operations and going to a more direct-to-consumer channel. We have seen already impacts from this in the first quarter, and it's going to build momentum in the second half. So very good progress. And really I would say, on this initiative, ahead of expectations. We're using our global footprint as an initiative that has a lot of value in terms of complexity costs, but this is an initiative that will show impact towards the end of this fiscal year, and with that, also taking a lot of momentum into next fiscal year. Streamlining product support is an important initiative for us, really streamlining today a very fragmented support operations, and also not only taking costs out but also improving customer experience in this process. Also an initiative with some runway, so we'll see a positive impact from that initiative right in the second half and Norton already in the second quarter. And then it's also about increasing our R&D capacity in terms of efficiency, moving more products faster through our R&D pipeline. This is much more productivity topic, and the gains we expect to lift there are going to be reinvested in productivity and portfolio, and will not contribute so much to the margin improvements we talked about.
Operator: We'll go next to Walter Pritchard with Citi.
Walter H. Pritchard: Two questions. First, for Thomas, you saw some changes to the margins in a couple of the segments there. You saw the Storage business deteriorate a bit and you highlight some of the drivers and you saw some improvements on the Information Security side. Can you help us understand sort of sustainably what sort of trends we should see in that business as we look at those segments -- or in those margins as we look at those segments going forward?
Thomas J. Seifert: Yes, a very good question. On the Information Management side, it was really driven to a large extent also by singular events. We had higher R&D marketing spend around our product releases. And to be very honest, we also digested not an insignificant amount of severance charges in this segment, and in accordance with our policy to not GAAP this out anymore, it had an impact on margin. And then last not least, our Appliance business grew significantly, and it has a lower margin and is therefore dilutive to our overall efforts. And then that's why you saw the deterioration. So I would say, most of it is a onetime effect and we should see margins stabilize in this segment moving forward. On the Security side, it was good progress from a revenue perspective. And as we said, a deferred positive effect from taking our costs down in the marketing and G&A segment.
Walter H. Pritchard: And then just for Mike...
Thomas J. Seifert: From an improvement perspective, sustainable moving forward.
Walter H. Pritchard: Got it. And for Michael, just on the CEO search, it sounds like you're getting closer there. I wonder if you can provide an update. As you have kind of gone through some candidates as to what sort of background or what sort of characteristics in a CEO you're looking for as the process has gotten to this point?
Michael A. Brown: Sure. Walter, I don't think that's changed. The criteria, I'll just repeat it for you, was: number one, looking for someone that had products experience from some aspect as closely related as possible in the technology space. So that doesn't mean necessarily someone from the security or storage segments in particular, but in as closely related fields as we can get. Second would be the experience operating at a global scale multi-products business. Because, of course, that is Symantec. Third, a collaborative leadership style, which addresses the concern that we've talked about before with our previous CEO. And then fourth, and ideally, experience as a public company CEO. So that's still the criteria. We've got from the finalists, candidates that meet all of those, and we have candidates where we're looking they may not meet all of those but they might be outstanding in 1 or 2 of those. Good progress of the search, as evidenced by the fact that we're expecting to announce the choice by the end of September.
Operator: And we'll take our next question from Keith Weiss with Morgan Stanley.
Keith Weiss: I was wondering, Thomas, if you would be able to quantify the impact of the extra week on the quarter for this quarter. And then more broadly, looking to the back half of the year, should we be expecting further headcount reductions as we go through the year? Or have most of the headcount reductions been accomplished already and it's more about just more operational efficiency of how you operate the business?
Thomas J. Seifert: Yes, so let me start with the extra week question first. It's difficult to determine exactly how much the extra week is worth, but our best estimate at this point is that it contributed about $100 million of revenue and it was slightly accretive to margins. On the second question, we look at our business. We evaluate it for efficiencies, and we'll take the necessary measures as soon as we identify them. So I could not exclude that some paring is going to be needed once we move further along the progress of our efficiency initiatives.
Michael A. Brown: But I think you could say that any reductions will be driven by what we see as a better process following along those initiatives that we talked about as opposed to reductions to hit a certain target. That's not the way we're approaching this.
Keith Weiss: And if I could sneak in just one last one. In terms of how we should be thinking about the gross margins on the going forward basis, it sounds like some of the initiatives that you guys are seeing a lot of success are slightly lower gross margin businesses like the NetBackup Appliances. It sounds like you guys are seeing a lot of success with some of the Managed Services businesses. So should we be expecting lower gross margins on a go-forward basis that are offset by just even lower OpEx contribution, to make operating margins go up into the back half of the year?
Thomas J. Seifert: That would be too simplistic in my opinion, because the revenue initiatives that Mike mentioned are driving gross margin in a not insignificant manner. If you look at our license compliance program, if you look at our efforts to increase our renewal rates, lots of progress. But there's still some room left to get to benchmark levels. And then don't forget the pricing initiatives that we have talked about, which is not about raising prices but getting a higher net effective price in our P&L. And those are measures that are not necessarily driving costs down but just enlarging the operating margin pool.
Operator: And we'll take our next question from Nikolay Beliov with Bank of America.
Nikolay Beliov: Thomas, you mentioned that the outperformance in the quarter was due to a combination of new business renewals and new products. Is it possible to stack [ph] rank as to the effect of this for us, please?
Thomas J. Seifert: I would say half and half. That's the best guess I would have at this point in time. We saw good progress on some of the initiatives that Mike mentioned, and I pointed out that we saw a 1% margin improvement year-over-year in the Norton business because of the initiatives we tried. And then we also we saw significant business momentum as Backup Appliances was up 35% year-over-year. Our Trust Services business, our DLP business was up year-over-year, and we made good -- continue to make really good progress also on smaller numbers in our mobile segment.
Nikolay Beliov: And one question for Mike. If you can give us an update on the search for a Chief Product Officer and what type of background and skills you're looking for, for that person.
Michael A. Brown: Sure. We're continuing to look at attracting a more talented executive team. And for this position, we're looking for someone that really is responsible for product strategy across the products. So frankly, some of the same characteristics we talked about for the CEO would also apply for the Chief Product Officer.
Operator: And we'll go next to Raimo Lenschow with Barclays.
Stefan Putyera: This is actually Stefan sitting in for Raimo. The first one, can you talk a little bit about how you're approaching the process to divest products and maybe how you're balancing the priority between the overall impact on revenue and margin profile longer term?
Michael A. Brown: Sure, this is something that Thomas and I looked at in the first few months as we took a look at the portfolio to say which ones are contributing to our growth goals, which would be to get back to growth that is equivalent to what's happening in the market for each segment and then which products are contributing to our margin goals; we recognize that some of our businesses are more mature and have terrific margin characteristics but are not going to be the sources of growth. We've identified what those are. And if the businesses didn't contribute to either of those, then they were a candidate for divestiture. So obviously, we can't talk about which decisions we've made because we are in the process now of figuring out what's the right disposition for those assets. But that's the process that we've undertaken.
Stefan Putyera: Got it. And then just a quick follow-up on, it appears that sales productivity...
Thomas J. Seifert: Maybe one addition to that answer. We don't expect any impact from those initiatives in this fiscal year. So any impact from accelerating growth because we take businesses off that are dragging us to date, that is not reflected in the guidance numbers we gave.
Stefan Putyera: Got it. And then if you guys could touch a little bit on sales productivity, it appears that it improved a little bit. Actually it improved significantly over the previous quarters. But can you talk a little bit about how that compares to what sales productivity was before you guys made the sales reorganization in Q2 last year, and kind of how that's tracking versus your kind of a longer-term fully ramped expectation?
Michael A. Brown: Sure. I think if we went back to the September quarter a year ago, there's been tremendous focus on the separation of the sales force into new business and renewals as well the specialization of the new business to focus either on our Security business or Information Management business. So those changes, obviously, are now well behind us. We're still doing some coverage optimization by account, but folks obviously are well into their new positions, and we're seeing the result of that because the pipeline is building for us. We see very robust pipeline as we look towards the second half of the year, especially in North America. There are several other aspects to sales force productivity, which probably have not been reported on, and that's a fact that we've made a big investment in what we call enablement, which is really giving the sales force better tools, access to realtime information about product roadmaps and competitive selling plays, so that they can have that with them at all times. So less time spent researching that within the company, given the large product breadth that we have, and more time in the field working directly with customers. And then what we have talked about, which is a very important part of productivity, is the Channel program. So we're partway through what's been a many-month enrollment with our Channel partners, and we received very positive responses from those Channel partners that we consider to be high-value as opposed to those who commoditize products. Registrations in North America from Channel partners were up 14% year-over-year, so we're pretty pleased with the progress we're seeing on our Channel program. So I'd say it's a combination of those things that make up sales force productivity.
Operator: We'll take our next question from Philip Winslow with Crédit Suisse.
Philip Winslow: I just have a question on the headcount side, and also it sort of relates back to your expenses and just your expectations this year. We start to see headcount creep back up following the restructuring you guys had. Last Q2, it's sort of more than half, sort of, the net reductions been added back. When you look at the business, and you're talking about the operating efficiencies, I mean, how should we think about sort of headcount and sort of OpEx expectations going forward? Because obviously, on the consumer side too, you have the lower OEM fees. So how do you kind of net those 2 out and prioritize? And then just one quick follow-up to that.
Thomas J. Seifert: Yes, good question. So the headcount additions, about slightly more than 200, were primarily in 2 areas: in product and services, so R&D and product development; and in IT. IT is about setting up our cloud infrastructure, but also in-sourcing a certain amount of contracts that we consider rather expensive. So we will see a trade-off between internal headcount buildup and the reduction in contractors and money spent. So it's part of the initiatives to optimize our cost structure, and we'll have offset points moving forward in operating expenses.
Philip Winslow: Got it. And then along those lines too, you've previously talked about sort of the 5 priority goals, revenue growth and margin expansion. When you look at new CEOs, and obviously, you have a new CFO too, I mean, how do you, I guess, sort of put the waiting there in terms of priority? Obviously, you guys wanted to do both, but where is there lower hanging fruit? Is it on the revenue side, is it on the margin side? And how would you prioritize the new CEO coming in, the focus?
Michael A. Brown: Well, I'd say we see some low-hanging fruit on both sides. That's why the initiatives are balanced between revenue and efficiency or cost. So as we've said before, the 30% operating margin is closer within reach, as we talked about achieving that before we end this fiscal year. And as you can tell from the comments that we've made, the products that are already seeing traction, the reprioritization of R&D dollars, we're very focused on getting the portfolio to be growing. We're pleased that we had the first quarter of positive revenue growth and the last 4 -- it's the first quarter we've had that, in the last 4. And we continue to make changes so that in our second half, as we've already said, we will continue to see revenue growth. So again, we see opportunity in both areas. And we're going after both aggressively.
Operator: And we'll go next to Pat Walravens with JMP.
Patrick D. Walravens: Mike, some investors and some of the industry analysts think it's too late for Symantec to catch up in the Advanced Threat Protection area. I'm sure you disagree with that. But key points can you potentially make to respond to that?
Michael A. Brown: The key point that we would make has to do with our global footprint and all of the telemetry that we collect from that footprint, which is why I spent a little time in my prepared remarks talking about how big that footprint is. So the hundreds of millions of endpoints that we see, the 4 trillion threat indicators, the billions of files that we track reputations on. When you put all of that together and you're able to correlate the data that comes from a network firewall -- we're working with third parties there -- our own products and that source of telemetry, we believe we're going to have a much more comprehensive capability there. So we believe that will allow us to, as soon as the product is available and the service is available today as we're talking about, that's going to allow us to, we believe, both provide more comprehensive threat protection and reduce the number of false positives. Because one of the things that we've heard from customers is: It's great that someone has identified all of these threats, but if you identify too many of them, you overwhelm our staff so we don't know which ones to focus on. So that actually increases the possibility that you're going to be breached. So this concept of layered or tiered protection is really important. And we can offer that through a variety of technologies, ATP just being one of those, and through the products that we offer that have many of the different access or control points in an enterprise. It's definitely not too late.
Patrick D. Walravens: Great. And can you quickly address the headlines about the Chinese government? I'm not sure if you've hit that already. I just heard...
Michael A. Brown: I don't think we talked about that yet. There have been some media reports which as of today, for us, are unconfirmed, that we're not listed among approved vendors on the government procurement list. As you can imagine with the situation in China, just as there would be in the United States, there are many procurement lists. So there's no single list to be on. As far as we understand, there's no national ban on use of some of our products. I think I saw that in someone's blog, but that is not true. Of course, this doesn't affect our Information Management or Storage products, which is most of our business in China today. So we're going to try and get to the bottom of what is the source of this. I think we'd all recognize that this is a problem a lot of U.S. technology companies are seeing. A number have been in the headlines in recent days, this is just something we're going to have to follow up. I think maybe my last comment here would be that China is a very important growth market for us. We're going to continue to support all our customers in China and we expect it to be a source of growth for us in the future.
Operator: We'll take our next question from Matt Hedberg with RBC Capital Markets.
Matthew Hedberg: I'm curious. A lot of the best-of-breed security and storage vendors have been doing very well recently. I'm curious if you can give us your perspective on customer buying behavior between best-of-breed vendors and vendors like yourself that can consolidate spending.
Michael A. Brown: Well, I think the security market is always a balance of both of those. We believe we have best-of-breed in a number of technology areas, DLP would be one example of that. In fact, our DLP product, you might know, has more market share than the next 3 competitors combined. So we bring best-of-breed, but we also have a very broad global footprint. So I think our customers find that of value. Which isn't to say that they are also not -- they're also buying some best-of-breeds for particular technologies. We're playing a bit of catch-up right now in ATP, as we've talked about. So I think you're going to continue to see that because there's continued advancement in the threats and then new technologies to combat that. We're in that game. Our competitors are in that game. So there will be some leapfrogging there. But I think overall, we're pretty pleased with the position of having a combination of best-of-breed, plus the most broad footprint.
Matthew Hedberg: That's great. And I think you commented on the federal spend this quarter. I'm curious to get your expectations embedded in your third quarter guidance for the September U.S. federal end.
Thomas J. Seifert: I don't want to go into specifics segment guidance. But I think we are rather pleased with the momentum we have seen in the North American markets in the first quarter and from the bookings and the pipeline information we have, which was about as robust as it has been for many, many quarters. We think that the second quarter will continue that trend.
Michael A. Brown: We have a new sales leader there who's really doing a terrific job, so I expect the combination of what he's able to provide -- you probably know one of our board members used to be the head of U.S. Cyber Command. So we're trying to pull together those collective contacts and leverage what he's done, our sales leader for federal, to make sure that, that continues to be a growth area for us.
Operator: And we'll take our next question from James Wesman with Raymond James.
Michael Turits: It's Michael Turits on James' line. A question, guys, on the UPP side. Is it possible to pull out the extra week and talk a little bit about performance? Because obviously, it was very strong on a sequential basis. And somewhat, those trends were positive or negative. I mean, give a little bit of detail a little bit more going forward on what your thoughts are on what to do on the consumer side?
Thomas J. Seifert: Yes, so I think it's safe to say that Norton is part of our UPP business. It's much more subscription-based model and therefore benefited more from the additional week than other businesses. I gave an approximate number for the overall benefit for the company. I don't want to break this further down into individual segments. But as I said, Norton benefited to a larger extent because of its business model.
Michael Turits: Okay. And then a little bit more on your thoughts on how to optimize that margin going forward.
Michael A. Brown: Yes, for the Norton business, there's are a couple of different factors we think to improving the business: number one, as we've talked about, is reducing the number of our offerings even though we've expanded by this quarter offering Norton Small Business, for the core consumer, the number of offerings we expect to come down overtime to basically simplify what a user experience will be. We're increasing what we're doing with the direct-to-consumer e-commerce channel. So we're going to be spending our money there to acquire customers as we reduce what we're doing in OEM and retail and we eliminate some unprofitable geographies that we were in and unprofitable OEM deals. So in general, we'd expect that our Norton business will have very slowly declining revenue as profitability increases. On the enterprise side, that's a market that is growing in the mid-single digits. That's very comparable to what our business is growing at, and we expect that we're able to improve that business over time by incorporating new technologies. We will -- over time, as we get into the next fiscal year, incorporate Advanced Threat Protection technology and DLP, Data Loss Prevention technology, into our Endpoint solutions. So I think that's going to be a boost for our Endpoint business in the enterprise. In addition, we also expect that to leverage our mobile growth, because mobile device management capability we're also going to be providing to our Endpoint customers, which makes it that much easier for the broad footprint we have with enterprise Endpoint customers to be able to buy our mobile workforce productivity suite.
Michael Turits: And if I can, one last question, just on license. License is still weak. It's one of the few numbers that was down more sequentially from the time or year-over-year than it had been. I mean, any thought on when that flattens out, and what are the dynamics are there?
Thomas J. Seifert: Yes, so you have to keep in mind on license revenue that we had a really hard compare to the year before period in which sales incentives drove a very high level of activity ahead of the sales organization. And that's the primary reason why you saw another trough. Otherwise, the progress we see, from a billings and from a pipeline perspective, is good. But on the License side, this was really a tough compare.
Operator: And we'll take our next question from Gregg Moskowitz with Cowen.
Gregg S. Moskowitz: Michael, as you noted, you recently released Backup Exec 2014. Can you talk about your expectations from that product as well as whether you think you're perhaps getting closer to stabilization of that business?
Michael A. Brown: Yes, we're pretty enthused about what we've seen with early feedback with Backup Exec 2014 because it gives us a much higher quality, more feature-rich version. And we believe that some of our channel sales, which is the primary channel for Backup Exec, had actually slowed in anticipation of this new release; though we're anticipating that, that will pick up now that we've released Backup Exec 2014. As you know, we just released that into the month of June, so there's only a few weeks in the quarter when that was available. So we've optimize performance over previous versions, so it's up to 100% faster backup and dedupe speeds with this. And it's also reduced administration time with what we believe is a cleaner and easier to use interface. So the combination makes it a much stronger product, much higher-quality, much faster performance.
Gregg S. Moskowitz: Great. And then just secondly, I guess, if you could update us on how you're thinking about M&A over the balance of fiscal '15.
Michael A. Brown: Sure, as we've talked about before, we do expect M&A to be part of our strategy going forward, but I wouldn't expect that to be out in front of both the CEO announcement and the discussion that we would have if you about how we view our longer-term strategy. So that means you won't see any significant M&A announcements before we're having a discussion of new leadership and strategy with you.
Operator: We'll go next to Gray Powell with Wells Fargo Securities.
Gray Powell: I don't think we've seen an updated breakdown between the various products within each segment in about 18 months or so. And I don't want you to go into too much detail, but can you break down your revenue into sort of the main buckets? I mean, specifically those buckets that you're investing in like the Backup Appliances, mobile and DLP versus the stuff that you're optimizing and then components that are non-core. And then just broadly speaking, what is the growth rate between those components that you're investing in, the stuff that's being optimized and that which is non-core?
Michael A. Brown: Okay. Well, let me give that a shot. So the assets that we've talked about that we're optimizing for margins is our Norton business, and the information availability business, in particular, our Storage Foundation, Cluster Server. That business actually includes a few more products, but those are the largest once there. So those we're optimizing for margin. About 1/3 of our revenue in our last fiscal year came from growing areas where the markets are growing more than 5%: Trust Services; Backup Appliances; Managed Security Services; DLP; Enterprise Endpoints; and Mobile. And a couple of those were very fast growth. Backup Appliances and Mobile, we've already talked about. Mobile, 76% growth year-over-year. Backup Appliances I think we're going 50% year-over-year if we look at fiscal year over fiscal year comparisons. And Managed Security Services, double-digit growth. So that's where the growth areas are that we're investing in for the future. If you added ATP capability to that, you'd have a large number of the areas. There are a number of other additional areas, some of which we talked about from time-to-time, that don't account for any revenue, that could be big winners for the future. Probably it's premature to talk about those, but it's just important to note that the areas that I cover today aren't the only areas where we're making investments.
Operator: We'll take our last question from Daniel Ives with FBR Capital Markets.
James Moore: This is Jim Moore in for Dan Ives. So you mentioned a lot of strength in North America. And I was wondering if you could maybe talk a little bit about the other regions? What you're seeing there, and maybe what you're seeing if anything changed since the restructuring?
Michael A. Brown: Yes. North America was very strong for us and Latin America was as well. I think what we're seeing across EMEA is good. It's not quite as robust as North America. And I'd say Asia Pacific Japan is an area we see a lot of growth potential. We mentioned a new strong leader that we have in that region. So I believe that we'll be seeing more growth coming from APJ as we get into the second half. We actually had tremendous strength in India in APJ. That grew at a phenomenal rate for us. So we're pretty pleased with the overall business environment, but we have to say it's strongest for us in North America.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back to our speakers for any closing remarks.
Michael A. Brown: Thank you, very much, for joining us today.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.